Operator: Good day, ladies and gentlemen, and welcome to the Sangoma First Quarter Fiscal 2025 Results Conference Call. I would now like to turn the meeting over to Samantha Reburn, Chief Legal and Administrative Officer. Please go ahead.
Samantha Reburn: Thank you, Operator. Hello, everyone, and welcome to Sangoma's First Quarter Fiscal Year 2025 Investor Call. We are recording the call, and we will make it available on our website for anyone who is unable to join us live. I'm here today with Charles Salameh, Sangoma's Chief Executive Officer, Jeremy Wubs, Chief Operating and Marketing Officer, and Larry Stock, Chief Financial Officer, to take you through the results of the first quarter of fiscal year 2025, which ended on September 30, 2025. We will discuss the press release that was distributed earlier today, together with the company's financial statements and MD&A, which are available on SEDAR+, EDGAR, and our website. As a reminder, Sangoma reports under International Financial Reporting Standards, IFRS. And during the call, we may refer to terms such as adjusted EBITDA, which is a non-IFRS measure that is defined in our MD&A. Before we start, I'd like to remind you that the statements made during the course of this call that are not purely historical are forward-looking statements regarding the company or management's intentions, estimates, plans, expectations, and strategies for the future. Because such statements deal with future events, they are subject to various risks and uncertainties, and actual results may differ materially from those projected in the forward-looking statements. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in the accompanying MD&A, our annual information form, and the company's annual audited financial statements posted on SEDAR+, EDGAR, and our website. With that, I'll hand the call over to Charles.
Charles Salameh: Thank you, Sam, and good afternoon to everyone on the call. I greatly appreciate you taking the time to join us today, and for your support and interest in Sangoma. I want to focus my remarks today on our strategic priorities for fiscal 2025, and why I'm truly excited about our direction. We entered this fiscal year as a completely different company from the one I first joined in fiscal 2024 back in September. For the first time since I joined, we are on very firm ground this quarter. This is the result of some remarkable efforts and focus by our management team. The necessary transformational work we completed in fiscal 2024 was focused completely inward, and we had to. We assembled a top tier of enterprise-class leaders, streamlined our operations, modernized our information systems, and strengthened our processes. Additionally, we worked tirelessly to enhance our culture and reestablish our corporate identity and brand. Now, simultaneously, we ran a separate parallel track where Larry and the team did an outstanding job improving our financial health. We stabilized our revenue base, enhanced our operating cash flow, and substantially reduced our debt. We now have the financial flexibility to expand Sangoma's reach, with the groundwork now set for the next phase of our transformation. Now, however, with more of an external focus. As I mentioned in our Q4 call, fiscal 2025 was all about the pivot to growth, and we had three tasks to achieve this. Organic, method of expansion, channel expansion, and inorganic growth. Transformations are challenging and hard work. It's not the sexiest part of the job, but it's essential to get done to provide the sustainable long-term growth for the company. The reinvigoration of our organic growth engine is rooted in our go-to-market strategy. This work began in earnest when Monica Walton joined as Chief Revenue Officer in May. Our go-to-market framework is built on three pillars. The first is account expansion, or as the industry calls it, share of long strategies. The second, new local acquisitions. And the third pillar is what we call base building or strategic deals. These are deals, multi-year CCD transactions with greater than $10,000 in MRR. With fiscal Q1 now complete, we now have our first full quarter under our belt, and a number of our new go-to-market programs are in place. We are still in the early stages, but we are seeing progress across several key indicators, and this is giving us confidence that we remain on track towards our FY 2025 plans. Let's start with account expansion, or share of wallet. During the first quarter, we saw a 6% increase year-over-year with a number of customers at over $10,000 in monthly revenue. I use this as a gauge to determine customer relevance. Our success stems from expanding the product or offerings for each of our customers, while building our upsell and cross-sell capabilities. Over the past six months, our net promoter score has improved significantly. This is a testament to our investment in customer service and account management and the great work done by our Chief Client Officer, Joel Kappes. The next is new logos. To further support our expanding pipeline and growth ambitions, we have enhanced and invested in new demand generation efforts targeting 40 to 50 new leads per week. One of our KPIs is the percentage of bookings from new customers. In the first quarter, we saw a strong quarter-over-quarter increase of 42% of our bookings coming from new customers, compared to 36% of our bookings in the fourth quarter, fiscal 2024. The third pillar in our go-to-market is base building, or strategic deals. In the first quarter, we saw a 28% year-over-year increase in the number of large UCaaS opportunities in our sales funnel, with greater than $10,000 in MRR. These deals are great to build a recurring base, and given their size, partners love them too. I'm very excited about what I'm beginning to see in the marketplace, as customers are starting to adopt essential communications as part of their integrated bundle of solutions. Two notable examples in the first quarter was a $250,000 CCD deal that we signed with a property management company, and an exciting $470,000 CCD deal we signed with a large restaurant chain. These are exactly the kind of deals that I've been speaking about in the last three quarters. The second vector in our growth strategy is investing and expanding new markets and channels. We've completed our partner segmentation and relaunched the Pinnacle Partner Program, focusing our efforts on our top 400 strategic partners. Additionally, we've implemented a national MDF, or Market Development Fund, program to support the execution and co-selling with these partners. We have over 160 partner events planned for this year. Through these initiatives, we've stepped up our engagement with our top partners, including large-scale distributors, to revitalize our premise-based business. From these efforts, just over the last several weeks, we've seen a significant volume of customers adopting Sangoma Premises after the NEC exit of this market. This is a unique opportunity that the team jumped into inside of the quarter. On to our third vector of growth, which is inorganic. This strategic approach has been integral to our long-term vision from the outset. Our [solarium] [ph] has seen exceptional growth in strengthening our balance sheet, and we're now in prime position to execute this strategy with confidence and precision. Our new ERP system remains on track for completion in early calendar 2025. The work that we have done to improve our systems, our tools, and processes will allow us to actively engage under a proven, inorganic strategic methodology. The more integrated and streamlined your systems are, the faster you reap the benefits of integration. Our decision to focus on paying down debt has been perfectly timed. As macroeconomic issues begin to subside and the cost of capital starts to decrease, Sangoma is now in an ideal position to deploy capital from non-dilutive sources. This is due to our strong cash flow generation and ample debt capacity. Work is underway to build a pipeline of potential targets. As we work to align and improve our go-to-market, we'll continue to refine, optimize, and potentially pull back on some of our portfolio investments to advance our long-term position as a purified communications platform company. In summary, I believe fiscal 2025 will be a privileged year for Sangoma. The transformational work completed in fiscal 2024 has paved the way for the strategic initiatives that will drive long-term sustained growth and value creation. While it's still early based on everything we've seen, including our progress in Q1, I feel confident to remain steadfast on our guidance for fiscal 2025. I'll turn it over to Larry to speak on the financial highlights. Larry, over to you, pal.
Larry Stock: Thank you, Charles, and welcome, everyone. We appreciate you joining us for today's call. In a similar vein to the approach Charles has described for tracking our growth and go-to-market initiatives, we've continued our laser focus on managing a dashboard of key metrics related to our financial health. These metrics support the strategic optionality we have created as a company and a management team. They include net cash provided by operating activities, inventory and accounts receivable, which drives working capital and, in turn, cash conversion, net debt, revenue, consistent gross profit and gross profit margin, and adjusted EBITDA. I'm pleased with how all of these metrics have tracked. We're generally on plan or ahead on each. Revenue for the first quarter was slightly below our guidance range, but we are well on track to recouping the difference. Despite the lower revenue, we managed the P&L well and delivered adjusted EBITDA at the high end of our guidance range. During the first quarter, our cash performance of the business remained a key highlight. We generated $12.1 million in net cash from operating activities, a 55% increase over the prior year period. The efficiency of our business remains high, as we have continued to manage our working capital effectively, converting 124% of our adjusted EBITDA of $9.8 million into cash flow. Our strong cash conversion stems from approximately $3 million in net positive changes to working capital during the first quarter. This includes $2.3 million from collecting trade and other receivables and nearly $1 million from inventory. One of our priorities is to reduce existing inventories while conservatively managing new purchases, as we anticipate a long-term shift towards a higher service-product mix. These working capital cash inflows were partially offset by a $2.7 million decrease in accounts payable and accrued liabilities. Strong cash flow performance in the first quarter allowed us to further accelerate our debt repayments. We retired an additional $4.3 million and reduced our total debt by $8.7 million in the first quarter. With $16.7 million in cash and $69.1 million in total debt at the end of the first quarter, our net debt to trailing 12 months adjusted EBITDA ratio is approximately 1.2x. Not only on track, but ahead of schedule in reducing our total debt to our stated target of $55 to $60 million by fiscal year-end. More importantly, by deleveraging the balance sheet, we've created financial flexibility to fund the three growth vectors Charles has outlined. Now moving on to the P&L. Revenue for the first quarter fiscal '24 was $60.2 million and slightly below our guidance range of $61 million to $62 million. Let me explain why. Near the end of the quarter, we had a delay in signing three large deals that shifted approximately $629,000 of product business out of Q1 and into Q2. We also experienced disruptions from hurricanes Helene and Milton, which impacted our employees, partners, and customers during the lead-up to and aftermath of the storms. We believe the hurricane impacts led to a slowdown in product volumetric growth at the end of the quarter, particularly around our Switchvox product, affecting both non-recurring revenue, NRR, and monthly recurring revenue, MRR. Lastly, in the first quarter, we experienced slightly higher churn from legacy contracts at just over 1% for the quarter. The churn was amplified by recent state-level minimum wage decisions and macroeconomic factors that have impacted California's retail sector. However, we expect our churn rates to return to our historical levels below 1% in fiscal Q2. The combined impact of these three factors resulted in Q1 revenue coming in slightly below our guidance. We believe we're on track in recapturing this revenue, and we remain committed to achieving our fiscal 2025 targets. Moving on to gross profit and growth margin, our first quarter gross profit was $41.2 million, representing 68% of revenue consistent with the preceding quarter. Our first quarter adjusted EBITDA was at the high end of our guidance range at $9.8 million, representing 16% of revenue. The strong adjusted EBITDA performance stems from net cost savings achieved in sales, marketing, and G&A over the past year. Importantly, we've been able to reinvest some of these savings into ERP as well as R&D. These investments continue to be focused on enhanced portfolio integration, cybersecurity, and AI. We're confident that these ongoing investments will pay off as we strengthen our technology platform to bolster our go-to-market strategies. Lastly, on guidance, well, this one's easy. For fiscal 2025, we are maintaining our revenue in the range of $250 million to $260 million and adjusted EBITDA in the range of $42 million to $46 million. With Q1 tracking largely to plan, we remain committed to delivering sequential revenue growth as we progress through the fiscal year. I share the confidence that Charles has in our current position and excitement over the potential that lies ahead. We look forward to updating you on our progress of our go-to-market initiatives and financial performance when we present our fiscal Q2 results in February. That concludes our prepared remarks. Operator, let's open the call up for some Q&A.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions]. The first question is from Gavin Fairweather from Cormark. Please go ahead.
Gavin Fairweather: Maybe just to kick it off, you referenced the NEC kind of exit from the prem business. Can you just remind us, like, how big were they? How does the competitive landscape look now? Were you already dealing with a lot of their partners, and how meaningful could this be for Sangoma?
Charles Salameh: I'll let Jeremy kind of give you some detail, and I'm willing to give you a little bit of a color commentary. The prem business is a traditional legacy business for those who really want their voice communications on their premises, as you know. NEC was a very large player in that marketplace. They exited that market because there is a downturn, I think, globally in the prem business, as more and more clients adopt cloud-based solutions. However, there is a lot of smaller companies, particularly the midsize market where we play, that NEC is not interested in playing in, but still desire the prem-type solutions. I'll give you an example of one, like a hospital, for example. It's mission critical for them to have voice communications during a power outage, so they really can't afford to have their voice be going into a cloud-based environment if there was a power outage in the environment, so prem solutions remain a primary requirement for them. School systems would be another one. Municipal offices, another one. And so there is a chunk of market that NEC used to serve but didn't want to serve any longer because the larger players in the prem space started exiting, and therefore they exited to follow the larger money. So don't know the exact number on the size of the market opportunity, but what we are seeing is there's a tremendous number of resellers in our partner community that have sold NEC, that have a lot of smaller midsize customers where we play, that require that prem solution still, and they needed someone to fill that gap. We stepped in and filled that gap and are starting to see the benefits of doing so. One final comment. One of the advantages we have is that we're one of the very few companies that can offer the full-stack solution of the cloud-based voice communication services, as well as the hardware and telephony equipment that we manufacture as well. Jeremy, do you want to add anything to that?
Jeremy Wubs: Yes, I'd add the comment that when you think about the market, it's big. It's still about a $2 billion market globally. It's declining at about 6%, but that's still a big market. So when you take arguably a third or fourth player out of the market, I mean, you think of Vi and Mitel as some of the bigger ones in the market. When another player sort of drops out, that opens up a space for people to go after. We're particularly well-suited for that space. We have a lot of relationships with the partners that NEC did as well. So we were able to kind of slide right in there pretty quickly. We kind of ramped up all our training and support to get those partners enabled pretty quickly. And, we think there's a lot of potential there. And kind of to Charles's point, sometimes those start to spam opportunities, and they'll evolve to a cloud solution. So it actually not only does it support kind of growing our NRR business from a prem perspective, but we've seen scenarios where, we started with an engagement, we thought it looked prem, it felt prem, but it actually shifted to cloud. So you sort of get a two-for-one out of those opportunities.
Gavin Fairweather: That's very helpful. Maybe just checking in on the background environment, I mean, some kind of other players have called out election uncertainty in the September and December quarters. I'm curious if you saw anything like that down in the U.S. And, also curious whether you think, the shifted political landscape going forward could drive, an improved business environment and demand environment.
Charles Salameh: We didn't really see much of an impact. We saw a bit of a positive lift on that because we have a SIP trunking business that actually helped a lot of the PACs reach their constituents in trying to sway voters one way or the other. They used up bandwidth and capacity, and we saw a little bit of a lift in that capacity. But as far as sort of major impacts as a result of the election, if that's your question, it didn't really affect us that much. The storms and the hurricanes affected us. Don't forget we have offices right here in Sarasota. Our main office is here in Sarasota. So we had a lot of disruption leading up to these two storms coming in back-to-back with each other. But as far as elections go, no. As far as, macro view of the industry, certainly the stability I think that the markets are feeling today, that the results came in, that there's stability now in the political arena in the U.S. is going to help us a little bit today, certainly a little bit stock opened this morning. And I think it will continue -- the stability will continue to be a positive environment for a company like us to grow in. And, I only see more tailwinds than I see headwinds as a result of any political issues in the country.
Gavin Fairweather: Okay. And then just lastly for me on the pinnacle of partner growing, a big part of this effort I'm sure is changing partners' behaviors and working on kind of larger, more complex deals. So maybe you can just provide us with a bit of an update on how that partner behavior is shifting, what you're seeing there, and also how perceptions of Sangoma are changing as a result.
Jeremy Wubs: Yes. I mean, a couple of things I'd say. Our program officially launches on the 12th. But we already started, as Charles mentioned earlier, really to segment our partners. We really focused on the top 400 of them. And that focus for us has really been on helping them understand how we've, you know, come out of this transformation that we went through last year and that we're very focused on that integrated portfolio, the bundled solutions, and being able to offer customers just a broader suite of essential communications. I mean, that banner of enterprise capabilities at an affordable price, I'd say that the partners have responded well. I mean, we've seen as Charles mentioned, an increase in the number of our metrics, some of the volume from a large deal perspective. We've seen more new logos, 43% of our wins this quarter versus 36 last quarter are coming from new logos. So we're seeing the momentum with the partners. It always takes some time to build that momentum. But both the partner program and the activities that we've taken to really drive that channel focus on our top 400, we're starting to see that momentum and we're excited about what it's going to offer us for the next couple of quarters.
Operator: [Operator Instructions]. Our next question is from Mike Latimore from Northland Capital Markets. Please go ahead.
Vijay Devar: Hey, sorry. Vijay Devar for Mike Latimore. So, yes, a couple of questions quickly. And the first one would be on, do you see the mix of product versus service changing in the second half? And what could be the likely mix for the full year?
Charles Salameh: Well, the product business and our focus has been on the services business and we'll continue to stay focused on the services side. Product business is an important part of our portfolio. We've been generally 80-20 in that range, 80% services, 20% product. We've actually, as we put more and more focus on the services side, you're starting to see the services mix going up to 83% this quarter versus 17% product. I think the product business can, it has a seasonality to it, so there could be some quarters where there's a high demand for product in the quarter and then it will drop back. And we feel that demand then follows ebbs and flows. But generally speaking, you're going to stay in that roughly 80-20 rule, I think, for the rest of this quarter, sorry, the rest of this year into the second half. But our focus will be maintained on driving higher MRR deals on the services side of our business.
Jeremy Wubs: I think the short answer really, though, is it just takes longer to ramp the services business than it does the NRR business. So coming out of our transformation, we're aggressively focused on go-to-market, building and establishing -- building existing relationships, establishing new partnerships. And in the short term, it's kind of easier to push on the product sales, knowing that it takes a little bit longer to build that momentum and that scale with the MRR business with our partners. So, what you saw at different points in time will favor a little bit of the product business because it just takes a little longer to scale MRR.
Charles Salameh: It's one of the luxuries that we have in Sangoma, which is one of the assets I always talk about, is that we manufacture our own products. So our own product sales are actually pretty good margin business for us. It's not like a resale on somebody else's. There is a part of our business that is a resale business for sure, but we have a big chunk of our business that is our own product. So we can push the accelerator on either one without being too deluded to margins. But our real focus is long-term MRR and our services side of business, which takes time to ramp, as Jeremy said.
Vijay Devar: Got it. Another question would be, do you have the sequential growth each quarter or some ups and downs in the third or second quarter? How do you look at it in terms of reaching out towards the end of the year?
Charles Salameh: So as we stated back in Q4, how we started the year off, that the MRR growth business of the company would be sequential quarter-over-quarter as we come out of the internal transformational focus that continued but really ended in June of 2024. We started the go-to-market transformation, ramping that up each quarter as we go through the quarter to get to our guidance of 250 to 260 as we stated. So we will see continued growth in the quarter as we execute on the go-to-market transformational activities, certainly what we're seeing in our pipeline. And in Q2, we'll begin to see more solidified metrics, more than what you heard this quarter, on how that go-to-market is performing relative to our ability to execute on the 250 to 260 guidance we're giving you.
Operator: Thank you. [Operator Instructions]. Our next question is from Robert Young from Canaccord Genuity. Please go ahead.
Robert Young: First question around the working capital benefits. I assume that's one time, and that probably influenced the decision to pay the extra debt down. So I was curious about that. And then, maybe if you could remind us on your plans after you get to those debt targets, how the behavior will change.
Larry Stock: Sure. So we've enjoyed solid operating cash flow for several quarters, and we anticipate that to continue. So while I highlighted that in the prepared remarks, I expect to continue to see really nice operating cash flow and allow us to continue to pay down that debt on an accelerated basis. As you noted, $4.3 million paid this quarter, $4.3 million in the prior quarter, and we'll accelerate that to get to that $55 million, 60 million range. And really, as we do that, that gives us these options that Charles keeps talking about, these vectors of growth and how we'll invest that moving forward and have the ability to do it both from a cash and debt capacity perspective once we get there. So I don't expect to see decreases at all. Certainly any point in time from another time is one time. I expect to see that continue throughout the fiscal year and continue to accelerate our ability to pay down debt and have cash for other options as we move throughout the year.
Charles Salameh: Your second part of your question, what will we do with the debt, with the cash once we get to that debt level, was that your question, Robert?
Robert Young: Yes, I'm just curious how you expect your behavior to change once you get to that target.
Charles Salameh: Well, as I said in Q4, actually going into Q1, we had three ways to grow the company. The optionality methodology was something that I believed in. Organic growth, which you heard me talk about today, through account expansion, new local acquisition and base building, and inorganic growth. That's really as a result of servicing our debt, getting it down properly timed to, I think, good tailwinds from cost of capital going forward. What I would borrow $100 million for last year is going to cost me a lot less if I try to borrow the same amount a year from now. So we've got lots of opportunity now to begin to look at the inorganic methodology. And when we get the debt level to the point where we're comfortable with them, we also have the opportunity, obviously, to look at our portfolio of assets in the company. I spoke about the deposition of assets. That would allow us to accelerate debt repayment even further and then potentially allow the inorganic engine to fire off even a lot faster. So these are the levers that we have now at our avail. Now that the transformational year is behind us, as we pivot towards growth, particularly from this quarter, as I told the board, this is one of the first times, I think, since I've been here after the four quarters, I feel like the company is absolutely on solid ground now. And that allows us the opportunity to begin to execute some of these other elements of growth beyond the organic engine that you've been hearing about that's starting to ramp up sequentially quarter-over-quarter. We are now going to look at firing off the inorganic activities, looking at how we're going to handle our debt repayment. What other things could we do in the company to accelerate debt repayment that would help to accelerate potentially the inorganic engine. So we're in a really good position right now, I think, to be able to execute on all of these elements. And that's sort of our intention, is what we told you in Q4, that this growth of this company will be predicated on a couple of different ways to grow the company operating simultaneously.
Robert Young: Okay. And then part of the question was about the abnormally high cash flow conversion from EBITDA. I understand the cash flow is going to remain strong, but do you have additional levers? Is there additional benefit in inventory efficiency? Or I think you said it was trade payables. Is there more to pull out of that, or was this very high conversion? Is that a one-time item?
Larry Stock: I don't view it as one. I mean, at that level, perhaps. But I view it in a range that's anywhere from 90 to 100 moving forward.
Robert Young: Okay, that's great. Second question. On the NEC, just continuing Gavin's, sorry if I'm retracing part of his question. I missed part of what he said. But that's ending, I think, the end of life. But, I mean, its support goes to 2030, and they're shipping through 2025. And so it seems as though that's a long, drawn-out process. I mean, is this a large opportunity for you over a long period of time? Or is this like a point-in-time opportunity?
Jeremy Wubs: Yes, it's a good question. I think it's ongoing, right? I mean, I mentioned the premise business is still globally about a $2 billion business. It may be declining at 6%, 7%. Somewhere around there if you look at sort of the major analyst reports. But there's an entire ecosystem that's built around reselling PBXs and rapid managed services. We have lots of partners to do that. That's the business model. They'll sell a little bit of cloud, but they're continuing to resell those PBXs. So that whole opportunity that NEC's walked away from, any new sales that are still occurring, they're not in that platform. So we're getting our way into that opportunity and picking up the business. It's not temporary. It'll go ongoing for quarters and quarters.
Robert Young: Are there others of that size out there that you think could possibly end a life or just walk away from the business? Anything that you see out there in the market that maybe we might not see?
Jeremy Wubs: I wouldn't say we see other signs of others doing that. I think you're in a difficult spot if you're a company that only does that. And so we're in a very favorable position in that we kind of have three flavors of our unified communications and premise systems. We have a fully cloud-based system for those clients that just want to go pure cloud. They like the attributes of cloud and the business model. Those who want this kind of high reliability environment that's very advantageous to get some of the cloud features like some of the premise model. We have a kind of hybrid system. We're very unique in the market around this hybrid model. High penetration in healthcare, manufacturing, retail, other verticals that need that instead of in-building high reliability. And then the third piece is having this premise system that we just talked about in NEC exiting. So with our partners, we're able to say, hey, as a communications platform company, we give you the optionality to talk to your end customers about all three scenarios. And if they pivot one way or the other way, or they want to change that model over time, their premise one day, cloud the other. And we give our partners the opportunity to kind of take their clients on that journey with a single provider. So we see tremendous benefit, not only in just picking up and attacking some of this NEC business, but also connecting it to a broader hybrid and full cloud strategy. And it's resonated very well with our partners.
Robert Young: Okay, that's a lot of good data. In the disclosure, you named a number of channel relationships. I know one, two, three, four, five, six of them, I think in the MD&A, [Telaeris, Avon, AppDirect] [ph], Intelisys, and ScanSource. Are there any specific about those ones that are relatively important? Or are they just the largest, most important ones?
Jeremy Wubs: Yes, they tend to be the largest. Those are some of the larger partnerships relationships we have. They're in our top 400 list, but more towards the sort of north side, the top side of that. But we've got a lot of partners. And again, depending on which kind of product lines or flavors sort of support the business model. We kind of inject their product lines kind of based on their business model. If they're a managed service provider, they like to do certain pieces themselves. They might like more of the prem solution and hybrid solution in a wholesale model. We're fortunate enough to have such a wealth of assets that we can position them into different channel partners to see kind of their business model gives them the opportunity to make extra money that they might not make with other partners as well.
Robert Young: Okay. And maybe last question. You highlighted that you're seeing a higher level of new leads per week after the go-to-market shift and their changes. How does that change in the pipeline? Maybe you can remind us or remind me on the sales cycle and how these leads move through the pipe and where this new lead activity is likely to benefit revenue and a pipeline.
Jeremy Wubs: Yes. I mean, the bigger portion of our new leads are coming in from the MRR side or the cloud side, which is exciting and very much aligns with our strategy. I mean, the thing that I'd say, and I think Charles commented earlier on his remarks, from a new logos perspective, last quarter, about 36% of our business was new logos. This quarter, or this past quarter, 43% to new logos. So that sort of gives you just a sense of these new leads coming in, which are mostly met new customers. Obviously, we know our base, so the new leads are tied to new, real new. So that's where we're seeing the opportunity of leads converting. So to go from 36% to 43% in one quarter, just as the momentum we're seeing, the new leads are coming in, are helping to drive that growth that we want in the MRR business.
Charles Salameh: Just to give you some sense on the sales cycle question that you had, I'll just interject here. As I've always said, one of the reasons why I love this company when I joined it, was that it has such a broad set of assets, unlike any other company that I've experienced in the small tech area. And one of the assets, obviously, is our product business, which we manufacture our own products and services. So our product business and our platform services, UCaaS services, have generally lower sales cycles. We can get them in, booked, and the revenue is dropping really quickly. On the access side of our business, where we have multiple locations, less users, but lots of locations spread all over the country, those have a little longer sales cycles and a lot longer development. Maybe you look more like six to 12 months, but by the time you actually begin the conversation with the customers, by the time you're actually seeing revenue come in. So you've got this dynamic between fast rotating revenue that comes in every day, to start getting a provision, over a three-month period inside of a quarter, you can pretty much do a deal if it's a pure UCaaS or a pure product. Then into access and networking and that type of thing, longer sales cycles, more six to 12 month in duration, because you've got multiple locations. So we have to manage the pipeline, and the revenue calls based on what we're seeing in the pipe, on both the short term revenues, slow sales cycles, with a longer term revenue that's more base building. Those are larger deals, and they take a little longer to drop in the quarters upcoming as you go through implementation and transition. Does that help, Robert?
Robert Young: That's really helpful. Thanks a lot for taking the questions. I'll pass the line. Thank you.
Operator: Thank you. There are no further questions registered at this time. So please, your call has now ended. Please disconnect your lines at this time and we thank you for your participation.